Operator: Good day, ladies and gentlemen. And welcome to the Raytheon First Quarter 2019 Earnings Conference Call. My name is Shanon, and I will be your operator for today. As a reminder, this conference is being recorded for replay purposes. I would now like to turn the call over to Ms. Kelsey DeBriyn, Vice President of Investor Relations. Please proceed.
Kelsey DeBriyn: Thank you, Shanon. Good morning, everyone. Thank you for joining us today on our first quarter conference call. The results that we announced this morning, the audio feed of this call and the slides that we'll reference are available on our website at raytheon.com. Following this morning's call, an archive of both the audio replay and a printable version of the slides will be available in the Investor Relations section of our Web site. With me today are Tom Kennedy, our Chairman and Chief Executive Officer and Toby O'Brien, our Chief Financial Officer. We will start with some brief remarks by Tom and Toby and then move on to questions. Before I turn the call over to Tom, I would like to caution you regarding our forward-looking statements. Any matters discussed today that are not historical facts, particularly comments regarding the company's future plans, objectives and expected performance constitute forward-looking statements. These statements are based on a wide range of assumptions that the company believes are reasonable, but are subject to a range of uncertainties and risks that are summarized at the end of our earnings release, and are discussed in detail in our SEC filings. With that, I will turn the call over to Tom.
Tom Kennedy: Thank you, Kelsey. Good morning, everyone. Raytheon delivered strong operating performance in the first quarter. Sales increased 7.4% and our bookings, sales, EPS and operating cash flow were all better than expected. We had backlog of over $41 billion, which is up almost $3 billion versus the same period last year. Our trailing four quarter book-to-bill ratio is strong at 1.13, and our growth strategy continues to be aligned with the needs of our global customers. Overall, I was pleased with our results in the first quarter, including strong performance at IIS and SAS, which more than offset missile's performance, which was below our expectations. Toby will review additional details about the quarter in a few minutes. Given the constantly evolving threat environment, I'd like to take a few minutes to discuss some of the innovative solutions we are developing consistent with Raytheon's long history of pushing the bounds of what is possible. Today, we are at the forefront providing advanced technology solutions for customers the most complex challenges. And we are seeing strong future opportunities in our core capabilities, such as in radars and missiles. And a great accomplishment for the company and our customer for the first time in March, The U.S. Missile-Defense Agency, in partnership with the industry team, launched two Raytheon exoatmospheric kill vehicle in back-to-back tests. One EKV successfully destroyed a complex threat representative intercontinental ballistic missile outside of the Earth's atmosphere, while the other EKV gathering test data in what is now known as a two-shot salvo engagement. This was a critical milestone for the ground-based midcourse defense system, and it also relied on Raytheon's advanced sensing capabilities, such as the Sea-Based X-Band Radar, 52 radar and multispectral targeting system on unmanned aerial vehicles to provide EKV with tracking and targeting data of the ICBM. Next, as we have discussed on prior calls, Raytheon is a leader in providing the next generation of GaN based naval radars. Our air and missile defense radar and our enterprise air surveillance radar for the U.S. Navy and international customers will form the backbone of radar capabilities for U.S. and allied surface fleets of the future. The AMDR provides integrated air and missile defense capabilities with greater range, increased accuracy and higher demonstrated sensitivity, allowing us to counter large and complex rates. EASR is the navy's next-generation radar for aircraft carriers and amphibious warfare ships that provide simultaneous anti-air and anti-surface warfare, electronic protection and air traffic control capabilities. Understanding our customers' need for performance and disputed relevance, we are making considerable progress on these advanced capabilities. During the first quarter, AMDR completed its latest and most complex test and has exceeded all performance requirements. The radar is currently in low rate initial production and on-schedule for delivery to Navy's first modernized DDG 51 Flight III class ship in 2020. And in March, we booked over $400 million for the next award of 3 AMDR LRIP units. A for EASR, in April, the radar was moved to Wallace Island in Virginia to begin its next phase of system level testing. We expect EASR to shift from the engineering and manufacturing development phase to the production phase at the end of 2019. And earlier this week, we received the first of two critical contracts from the missile-defense agency valued at approximately $400 million for 52 radars as part of the kingdom of Saudi Arabia's purchase of the terminal high altitude area defense or THAAD area missile defense system. We continue to see the total Raytheon opportunity on this program to be around $3 billion. In the area missiles, Raytheon is continuing our leadership as a provider of numerous advanced and innovative solutions to our customers. During the quarter, Raytheon and U.S. Army completed a successful preliminary design review for DeepStrike, Raytheon Solution, to meet the Army's precision strike missile, or PrSM requirement. This moves the missile down the development path toward its first flight test planned for later this year. The new missile's range and speed will enable Army combat units to engage targets over vast geographic areas in high threat environments, and will fly farther, faster in fact, more punch than the current missile. And our franchise win at the naval strike missile for the U.S. Navy last year continues to show opportunities for growth. The missile is offered by Raytheon in partnership with Kongsberg. And recently, we entered into an agreement that expands the franchise further by integrating NSM into U.S. Marines' existing force structure to support the national defense strategy and modernization efforts. And in April, we saw further extension of the NSM franchise with an approved international sale to integrate NSM onto rotary wing aircraft. We are also developing both offensive and defensive hypersonic systems, and providing our nation's military with the advanced tools they need to stay ahead of the escalating threat. In March Raytheon was awarded the DARPA contract to further develop the tactical boots glide hypersonic weapons program. This joint DARPA and U.S. Air Force effort includes a critical design review, a key step in building the technology. In addition, we are working on advanced interceptors for missile defense. During the quarter, Raytheon successfully completed more than 1,700 rigorous wind tunnel tests on the newest extended range variant of the combat proven AMRAAM air-to-air missile. Testing is a major step in the missile's qualification for integration with the NASAMS' ground based air defense system. The AMRAAM-ER missile intercept targets at longer distances and higher altitudes, thus, enhancing system performance for our customers worldwide. While we are pleased with the growth missiles has achieved, and we remain confident about the future opportunities, we recognize there is more work to be done to meet our expectations on performance. The fundamentals that missiles remains very strong and we are implementing action plans to improve program execution. In the mean time, as I previously mentioned, we are pleased with the strength in the rest of our portfolio, especially at IIS and SAS, which offset missile's performance. In addition to the strong performance at IIS, earlier this year an IIS team demonstrated a land-based expeditionary version of its joint precision approach and landing system with JPALS for the first time to the U.S. Air Force, Navy and Marine Corp officials. The precision landing system is currently used on ships to guide F-35Bs in all types of weather. JPALS has the potential to help any fixed or rotary wing aircraft land in rugged low visibility environments at austere bases worldwide. I would like to highlight one more of our many innovative solutions this one at SAS. Last year, we were selected as one of two companies to complete for the opportunity to provide the mission payload for the next generation overhead for persistent infrared program. Next Gen OPIR is a new missile warning satellite system for the U.S. Air Force aimed at countering emerging global threats. During the first quarter, we were awarded a proposal update. And in April, we successfully completed the payload system design review on-schedule. We are in an era of rapid technological change. And as a result, it is becoming clear that the solutions our customers will need in the future relative to escalating threats will most likely to be complex systems, integrating multiple technologies, including radars, missiles, missile-defense and cybersecurity. This is an area of strength for Raytheon. With our deep portfolio capabilities and leading franchises across all of our segments, we are well-positioned to be a key partner for our customers. The initial development of our advanced capabilities is often through our classified work, which as we've discussed on past calls points next-generation technology development that is integral to the long-term growth of our future franchises and production awards. And our Classified Business was once again strong in the first quarter with Classified bookings up 37% and Classified sales up 22% versus the same period last year. Turning to D.C., we were pleased to see the increase in the base budget and modernization levels in 2020 Department of Defense budget request that was released in March. Raytheon programs fared well in the request with notable increases from weapons, radars and C5ISR programs. The budget request was clearly driven by the priorities of the national defense strategy with the research and development accounts increasing substantially to develop high end capabilities to counter peer threats. And the NDS aligns well with our other innovative solutions that address our customers' most complex challenges. We will continue to work to ensure robust funding for our programs, which are a critical need for customers. In closing, the Raytheon team remains focused on driving strong execution and future growth, backed by workforce of over 67,000 employees and a corporate culture grounded in our company's values. These values, trust, respect, collaboration, innovation and accountability, guide the way we engage with colleagues, customers, investors and other stakeholders. Now let me turn the call over to Toby.
Toby O'Brien: Thanks, Tom. I have the opening remarks, starting with the first quarter highlights and then we'll move on to questions. During my remarks, I'll be referring to the web slides that we issued earlier this morning. So everyone return to Page 3. We are pleased with the strong performance the team delivered in the first quarter with bookings, sales, EPS and operating cash flow better than our expectations. We had bookings in the first quarter, resulting in a strong trailing four quarter book-to-bill ratio of 1.13 and a backlog of over $41 billion. This positions us for continued growth throughout 2019 and beyond. Our sales in the quarter were $6.7 billion, up 7.4% with growth across all of our businesses. Our EPS from continuing operations was $2.77, better than our guidance and an increase of 25.9% year-over-year. I'll give a little more color on this in just a moment. We had an operating cash outflow of $411 million in the first quarter, better than the guidance we provided in January. And as expected, operating cash flow was lower than last year's first quarter, primarily due to higher net cash taxes and the timing of payments. During the quarter, the company repurchased 2.8 shares of common stock for $500 million. And I would add that last month, we announced an 8.6% increase in our dividend. This marks the 15th consecutive year of increasing dividends at Raytheon. Turning now to Page 4. Let me start by providing some detail on our first quarter results. Company bookings for the first quarter were $5.4 billion, resulting in backlog at the end of the first quarter of $41.1 billion. This represents an increase of approximately $3 billion or 8% compared to the first quarter 2018. It's worth noting that around 38% of our backlog is comprised of international programs. If you now move to Page 5. For the first quarter of 2019, sales were better than the high end of the guidance we set in January. Sales were especially strong at IIS. Looking now at sales by business, IDS had first quarter net sales of $1.6 billion, up 4% compared with the same period last year. The increase from Q1 2018 was primarily driven by higher sales on various Patriot program and a naval radar program. In the first quarter, IIS had net sales of $1.8 billion. Compared with the same quarter last year, the 12% increase was primarily due to higher net sales on classified programs in both cyber and space. As we've previously discussed, we expect ISS's growth rate to moderate in the back half of the year due to the continued planned ramp down and transition of the Warfighter FOCUS program. Missile systems had net sales of $2 billion, up 9% compared with the same period last year. SAS had net sales of $1.7 billion in the first quarter of 2019, up 5% compared to last year's first quarter. The increase from Q1 2018 was primarily due to higher net sales on classified programs. And at Forcepoint, sales were up 12% in the quarter compared with last year's first quarter. Overall, we're pleased with our total company sales, which grew 7.4% in the quarter. Moving ahead to Page 6. Now, let me spend a few minutes talking about our margins in the quarter. Our operating margin was 16.5% for the total company and 11.8% on a business segment basis, both generally in line with last year's first quarter, and better than our expectations at the company level. IDS margin was lower in the first quarter 2019 as expected, primarily due to lower sales on a large international Patriot program awarded in last year's first quarter. IIS's margin was higher by 310 basis points compared to last year's first quarter, primarily due to a gain of $21 million related to the consolidation as planned of an entity that was previously an equity investment, and from $13 million gain from the sale of excess assets. Excluding these items, the margin at IIS would be about 8.5% better than last year's first quarter, primarily due to higher net program efficiencies. Missile's margin was lower in the first quarter compared with the same period last year, and lower than our expectation. We expected there to be an impact from program mix in the first quarter, but we also saw lower than planned net program efficiencies, which I'll discuss further when I review our outlook by business. From a total company point of view, we remain focused on margin improvement going forward, and continue to see our business segment margins in the 12.1% to 12.3% range for the full-year, consistent with the guidance we laid out in January. We see our margin improvement in the back half of the year driven by favorable program mix and productivity improvements. Turning now to Page 7. First quarter 2019 EPS of $2.77 was up 25.9% from last year's first quarter and was better than our expectations. The year-over-year increase was largely driven by higher sales volume and pension related items. On Page 8, as I mentioned earlier, we have updated the company's financial outlook for 2019. We continue to expect our full-year 2019 net sales to be in the range of $28.6 billion to $29.1 billion, up 6% to 8% from 2018. We still expect our full-year 2019 EPS to be in the range of $11.40 to $11.60. As I discussed earlier, we repurchased 2.8 million shares of common stock for $500 million in the quarter, and continue to see our diluted share count in the range of between 279 million and 281 million shares for 2019, driven by the continuation of our share repurchase program. Operating cash flow in the first quarter was higher than our prior expectations, primarily due to the timing of collections. Given that it is still early in the year and our cash is back half weighted, we continue to see our full-year 2019 operating cash flow outlook to be between 3.9 billion and 4.1 billion. And although not on the Page, it is worth noting that we continue to see our full year 2019 bookings outlook to be between $29.5 billion and $30.5 million. Turning now to Page 9, as you can see, we've included guidance by business. Before I discuss the other businesses, I wanted to address missiles first. At missiles, as I mentioned earlier, we saw lower-than-expected net program efficiencies this quarter. As a result, we have reduced their outlook to reflect first quarter performance and what we now expect for the balance of the year. We now see their margin to be in the 11.5% to 11.9% range. As Tom mentioned earlier, we have an action plan in place to improve their execution. The strong performance we saw at both IIS and SAS in the first quarter and their improved outlook for the remainder of the year offset the performance at missiles. This reflects the strength of our balanced portfolio. We now expect ISS margins of 8% to 8.2%, which is up 20 basis points over the prior outlook we provided in January. And we've updated SAS margins to 13.2% to 13.4%, an increase of 30 basis points from our prior outlook. As a result, it's important to note that for the full year 2019, we continue to see our business segment margins in the 12.1% to 12.3% range for the full-year, consistent with the guidance we laid out in January. We are committed to improving margin across all of our businesses. And this focused effort is now starting to come through in the margin performance at our ISS and SAS businesses. On Page 10, we provided you with our outlook for the second quarter of 2019. As we mentioned on our last call, we still expect the cadence for the balance of 2019 to play out similar to 2018. We see sales, EPS and operating cash flow ramping-up sequentially in the second half of the year. I want to point out that we expect second quarter sales to be in a range of approximately $6.95 billion to $7.1 billion and EPS from continuing operations is expected to be in a range of $2.50 to $2.55. We expect operating cash flow to be in a range of $500 million to $700 million. Before concluding, I'd like to spend a minute on our capital deployment strategy. As we said on the call in January, we expect to continue to generate strong cash flow and maintain a strong balance sheet that provides us with financial flexibility. We remain focused on deploying capital in ways that create value for our shareholders and customers. This includes internal investments to support our growth, obtain a sustainable and competitive dividend, reducing our share count, making targeted acquisitions that fit our technology and global growth needs and making discretionary contributions to the pension. In summary, if you stand back and look at the quarter, we had strong performance, which provides a solid foundation for the balance of 2019. Our bookings, sales, EPS and operating cash flow from continuing operations were all above our expectations. And we remain well positioned for continued growth. With that, Tom and I will now open the call up for questions.
Operator: Thank you [Operator Instructions]. The first question will come from the line of Sheila Kahyaoglu with Jefferies and Company. Your line is open.
Sheila Kahyaoglu: On missiles, how do we think about the franchise programs? Tom, you mentioned in your prepared remarks and how they develop longer-term as growth drivers and maybe just the return on sales of those assets. And then as a follow-up, you both mentioned actions have been placed for MS. Can you maybe describe that a little bit more? Thank you.
Tom Kennedy: Let me start-off with the franchises. I think what’s unique about missiles is the fact that they have a strong -- first of all, a very strong stable of existing franchises that have gone to a syndicated refresh here over the last five years. In other words, new technology being inserted into them, essentially give them legs for another two decades. And the other one is that the success we've had in extending those franchises in international marketplace. And what's special now is that we have an opportunity for some, brining some new franchises on-board. We just brought one on-board NSM. I mentioned, how just within a matter of six months, we've extended that franchise into two other mission areas, so essentially doing three mission areas right off the bat. The other items are the ones where we're in a competition for one is the PrSM, which is a precision strike missile for the United States Army. And that program there it's just had very successful test that had CDR I mentioned and it just had a very successful motor test. So we're very keen that that we're in a very good position to potentially win that new franchise. And that will replace all of the Army's that comes out in the field today and give us the Army number one in a great significant capability, but also a brand new franchise for Raytheon. And we're also working on the next generation nuclear weapon for the LRSO program that is in competition that has down select out in the 2022 period. And that’s also the next generation weapon for the United States Air Force, and with about over a thousand weapons that will be procured over a period of time. So I feel very strongly about, number one, we call it the competitiveness of our existing franchises and our ability to extend them over a couple decades and then also provide them international legs and the new opportunities we have at missile. So bottom line is missiles has a lot of upside in terms of growth and we're supporting that. In fact the action plan that we're taking at missiles, this is the -- for us, so we have a new leader that has come on board that’s Wes Kramer. Wes was President of IDS, did a great job for us at IDS. He has also been at missiles support. He ran their largest business area, which was a standard missile business. So he knows the business. He knows the levers to pull to drive I think both continued growth and also margin expansion there. And we know we've been putting in some of the very detailed action plans to go drive margin expansion in the business. We're very certain for the margin range we have for this year's set, but we're also very positive on growing margins incrementally in '20 and then '21, and that sets our main focus at missiles.
Toby O'Brien: And Sheila, I'll just add a little bit on the details of the things that we're doing out there. So there's already been some changes that have been made. There were some modifications to the word structure. Some product lines were consolidated, which obviously reduces management costs. There were some other leadership changes made on the staff. The team out there continues to review the cost structure, looking for opportunities to get benefit of the leverage that we have given the growth we've seen. We're reviewing the factory operations for incremental efficiencies and Wes, as Tom mentioned, will leverage his prior experiences at missiles and will be clearly focused on improving execution. And there'll be some other things we make, other changes we make along the way. But bottom line, the team is very focused on growing the business, improving program execution and as Tom mentioned, expanding margins.
Operator: Thank you. Our next question comes from Jon Raviv with Citi. Your line is open.
Jon Raviv: Tom, you had mentioned an era of rapid technological change. And it's maybe for both of you. Can you talk about the earnings algorithm in that era where we're seeing obviously this trade-off between growth in margin, which should maybe reverse in a couple years? And then also you mentioned that customer in that era want more integrated solutions. So how do they balance that desire for integration with them wanting more open architectures and maintaining competition? Perhaps in that answer you can also address the LTAM's competition. Thank you.
Tom Kennedy: Well, first of all, we are having an explosion in technology. I mean essentially people talk about the fact that there's an exponential change in technology that is occurring now with things like machine learning, nanotechnology, quantum computing coming onboard out of the manufacturing. And we're heavily involved in all of those areas. I think our customer realizes that they need to take advantage of those new technologies to be able to generate the next generation of capability to put the United States in a premier position from a defense perspective. And so we're seeing a lot of activity in R&D on the government side to bring those new technologies to fruition. And what we're doing at Raytheon, our strategy is to take those technologies and again upgrade our existing franchises, whether they be radars or missiles, ground stations, ground systems and then also generate the next generation ones. And so we're playing both extending our existing franchises and then also working to take these new technologies to win new franchises. So we're -- the fact that we're all over that and the prime example, and you brought it up is the U.S. Army's Lower Tier Air Missile Defense Sensor, we call it LTAM. We are in a competition on that and we'll be proceeding here in May to something called the U.S. Army sense-off. What we're doing there is we're taking brand new technology and then start to coming up with the new 360 degree active electronically scanned array radar using our high-end GaN technology that we produced here at the Raytheon company. We expect the sense of this taking place in May and June of this year. And at some point, we believe the Army will complete their analysis. There is an RFP that's out there. So sometime late '19 early 2020, we expect to down select there.
Toby O'Brien: Jon, let me maybe just add a little bit on the part of the question related to the earnings algorithm or exactly how you put that, just a couple things to remember right. So we've talked before a lot last year about the mix we're seeing, the change in the mix, driven by the National Defense Strategy and obviously the changing technology plays into that as well. And just as a reminder, the segment margin that we guided to this year, it has about 20 basis points of margin headwind that we see because of that mix and we're offsetting that in a little bit more with about 40 basis points of productivity. We're clearly in an era or a time when we are winning many of these new developing classified programs. And as Tom said, we see them as future franchises that ultimately transition and lead to production over time. And as I mentioned, near term margin pressure but it should be tailwinds to margin in the future. These awards strengthen our portfolio right. We're all about franchises. And the more franchise that we can get, help and we expand those internationally at a point in time as well. So while we've seen some puts and takes as a result of this, especially in our 2019 guidance by business, we continue to see margin expansion going forward. And again, don't forget about our international content. About 30% of our business is international. It's on the higher end of our margin scale that we have to have the benefit of working to leverage when looking at the earnings equation also.
Operator: Thank you. Our next question comes from Doug Harnett with Bernstein. Your line is open.
Doug Harnett: I’d like to go back to missiles, because I just want to understand what's been the evolution here. We've really seen margin guidance reduced for four quarters in a row now essentially. I understand that some of last year that was attributed to a mix shift to more development. But now when you look at Q1, we actually see the backlog drop by more than $1 billion in missiles, and you made a leadership change. Can you talk about how you've looked at this unit over the last three to four quarters? And what you've seen is the issues there and when did you come to the decision that there had to be some significant changes.
Tom Kennedy: Let me start off and then Toby will follow. The first thing is in terms of the leadership change the prior leader, prior president, Taylor did informed the company that he was plans to retire. So that president change was based on that retirement request. And so we were able to at the time bring on a very strong player that's Wes Kremer, and I'd say he's a strong player, because right now he is running the IDS business and he's doing quite well. And it's a similar type of business to missile. They do have in strong franchises there, lot of production, and also a lot of growth opportunity at IDS. And so we're taking that to the missile company, applying some of the techniques that Wes put in place and we have in place and we have in place at IDS at the missile company. But I think in the end game, first, it was originally as a initially relative to mix. We were winning and have one quite a few contracts in missiles and in development area and essentially it’s the R&D area for the government, which put pressure on us from a mix perspective. The other issue we were seeing is that we do have quite a bit of production programs going on here. And we weren't seeing as much pick-up on the production programs that we have seen in the past. And this started about probably about three quarters ago. And so we are putting much emphasis on essentially on the leaning out the factory, really working on our supply-chain and really driving productivity across all the production programs. The mix is a mix. But what we can do is we can drive essentially significant improvement in the factories and in our supply chain to drive margin expansion on that part. And I'll let Toby to answer some of this too.
Toby O'Brien: So Dough, just to your questions about what’s happened overtime with the guidance, a lot of that last year was around the mix. And we did get hit with a lot more of the lower margin development classified work. We believe the guidance for this year going back to what we provided in January properly size that relative to missiles, the mix effect. We still feel that's the case today. The change that you're seeing here in the quarter is as we said around performance and execution. There were a couple of program adjustments in the quarter at missiles. We did have one that was about $15 million. But when you step back from it, they are growing the effects of mix, I think are well understood, we think that's right. And it was all performance related. So as I said before, we took that into account, relook at the year and made the adjustments. I think Tom said in his opening remarks the fundamentals there remain strong and we believe that. Our comment to your comment about the backlog. So I think it's important, you can't take one quarter and think of that as trend, either good or bad. I'd take you back to the fact that missiles has been leading growth in the company going back the last four or so years. As a reminder, last year they had a book-to-bill of 1.09, it was 1.26 in 2017. The book-to-bill was low in the quarter, which is what drove the backlog down. It's all timing related. I would tell you, we expect north of $9 billion of bookings at missiles this year, a book-to-bill of 1.05 or greater. Again, I think we've talked about it before. We expect two multiyear production awards in the back half of this year out at missiles that is part of what is going drive that. So I wouldn't read anything into the change in the backlog in the quarter, other than just timing related to some large bookings.
Operator: Thank you. And our next question comes from Robert Stallard with Vertical Research. Your line is open.
Robert Stallard: Just on the missile theme, unfortunately. If you sort out the performance issues, what sort of benefit could you have to the operating margin in this business going forward? So ignoring mix just the productivity.
Tom Kennedy: So Rob, I think the way to think of it, and I'll maybe start with this year and move forward for you here. So first of all, again, as Tom said, we believe we sized it. We've adjusted their range downwards, it's 11.7% at the midpoint, which is in line with where they ended last year. And we think we've seen -- see that appropriately. We would expect the cadence of margin to improve quarter-to-quarter throughout this year with a little bit of a bias towards the second half. And then when you think about 2020 and beyond, if I were to take it back to the 2016 timeframe, 2017 even 2015. Missiles was generating margins in the 13% range before we started to see this higher influx of the development in the classified work, and I believe that's still attainable, albeit out in time, because it's going to take time, both for these development programs to transition into production and to implement some of the actions that we talked about and refocus on the program execution. So we're not going to peg a number, but we would say improvements, incremental improvements in 2020 and beyond, driven by both the combination as that mix shifts a little bit more favorably, the production, the two big multiyear awards get into a strong production cadence out in the future and we execute better. It's going to be a combination of all that. But clearly, the business has demonstrated in the past, especially when the mix is different how they can perform.
Operator: Thank you. Our next question comes from George Shapiro with Shapiro Research. Your line is open.
George Shapiro: You wound up beating the high-end of your EPS guidance by $0.25. You beat the high-end of your sales guidance by $150 million. I mean, a lot of this is due to IIS. But you didn't raise the guidance or the sales guidance. And usually, when you beat it by this much, you raise it by something. So is it all IIS where Warfighter sales didn't come down this quarter, aren’t expected to come down? And then also, was there any benefit to IIS sales from the consolidation that you did in the quarter? And any other color you might provide. Thanks.
Tom Kennedy: I'll address the couple of IIS things, and then I'll tell you how we're thinking about the year from a company level. So the Warfighter sales came down in the quarter like we expected, but year-over-year we're looking at about $0.5 billion reduction. Most of that's in the back half of the year. So there is there is an imbalance first half, second half relative to how Warfighter is going to impact the revenue cadence at IIS. I would tell you even with that decline the rest of the IIS business is strong. You saw some of that in the first quarter in the cyber and space areas. And ex-Warfighter IIS is growing around 10% for the year. The consolidation of the entity that you referred that you asked about did have about $38 million impact in the quarter on revenue. So that's IIS. At a total company level, as we said, we're pleased with the first quarter results. They did exceed our expectations at the company level. Some of the higher sales volume we saw was timing related, driven by timing. And it clearly gives us confidence in our outlook of our 6% to 8% growth for the year. We mentioned the favorable performance at IIS and SAS, and we improved their total-year guidance. But those improvements were offset by the decrease in the missiles margin for the quarter that we flowed through to the year. So in total, as we said, the range stayed the same for segment margins, 12.1 to 12.3. Bringing it down to EPS, we were $0.35 higher than the high-end of our guidance range as you mentioned. Roughly half of that driven by the timing of sales and margins within the year, the other half driven by the timing of some corporate and non-operational items within the year that would now be expected to have a impact, a negative impact in the back half. So the change in margin guidance at the two businesses that improved IIS and SAS that flowed through and offset missiles. It's early in the year. We continue to be focused on growing the top line and improving margins. And then I'd just add for completeness. I think I mentioned in my opening remarks. We were pleased with the cash performance for the quarter, about $140 million better than the high-end of our guidance. It was timing related. It's early. The $3.9 billion to $4.1 billion that we have out there for the year would be on top of the, or is on top of the record performance we saw last year. Bottom line, we will keep an eye on all this, but we're confident in the outlook for the year. 
Operator: Thank you. Our next question comes from David Strauss, Barclays. Your line is open.
David Strauss: Last one on missiles and then also one other question. Toby, I think you said you highlighted, maybe a $15 million negative to EAC. What were the total negative EACs in missiles in the quarter? And then on cash deployment, I think the $500 million share repo number, that’s a biggest I've seen on a quarterly basis that you guys done. How you're thinking about share repo from here? And then also the potential to potentially pull forward some of the future pension contribution needs into this year? Thanks.
Toby O'Brien: So on missiles, just to put in perspective, the net EAC adjustments in the quarter were $4 million, and they were above $69 million -- a little over $60 million of negatives. And again, if you just kind of think of the 9.5% margin. If the performance had been more, the EAC adjustments had been more aligned with our expectation, we would've been in a plus or minus 11% margin range for the quarter. Again, the issues we're dealing with here in missiles in the quarter are related to their performance. On the share repo, we continue to see value in our shares. We are committed to the share repurchase program. The outlook for the year, similar from a dollar value point you give or take to next year -- to last year about $1.3 billion and the 2 plus percent reduction. And we will continue to evaluate that. As far as the pension goes, we will, per our normal practice, we're looking at that all the time. But we'll have a clearer view of that as we get towards the back half of the year. We obviously want to see what's going on from an overall cash generation, allocation of capital and certainly what's happening in the market and how the plans are performing. Last year, just as a reminder, the reason we did something a little bit earlier was we got the benefit with the change in the tax laws to make the deduction at the prior tax rate of the 35%. So we were a little bit ahead of when we would normally look at discretionary contributions.
Operator: Thank you. Our next question comes from Cai von Rumohr with Cowen and Company. Your line is open.
Cai von Rumohr: So your guidance for the second quarter, 250 to 255 in earnings, looks like we get a fair amount of margin compression given your revenue guide. Could you walk us through maybe some of the puts and takes on margins, particularly missiles? Do we have some more pain to get things under control in the second quarter? And is that the reason for what looks like a light margin guide? Thanks.
Toby O'Brien: So typically for the company, our segment margins do ramp up in the second half. And obviously, therefore, start a bit lower in first half. We did see some Q1 margins, about 50 basis points higher than our expectations, so that we were ahead of our guidance, ahead of our expectations on the segment margins in Q1. A decent portion of this improvement was driven by the timing of some profit previously expected in Q2, primarily at both IIS and SAS and therefore, taking that all into account does result in a lower margin in Q2. If I look at the businesses, specifically for Q2, we do see lower IDS and IIS margins compared to Q1. And also just as a bit of a reminder, Forcepoint traditionally or typically does have a loss in both Q1 and Q2 due to the seasonality of their business. So although the Q2 margin expectations, they are a little bit lower, we do feel good about our guidance for the total year of the 12.1 to 12.3. And I can tell you we have had years in the past where the cadence was similar. And part of that is driven, as I mentioned, by Forcepoint given that they are in a loss for the first half of the year and a profit in the back half as their volume increases.
Operator: Thank you. Our next question comes from Rob Spingarn with Credit Suisse. Your line is open.
Robert Spingarn: So Tom, I wanted to go to hypersonics and think about Raytheon's positioning in offensive hypersonics. So you talked about the TBG, and I think you want something -- I'll hop a few years. But it seems like one of your competitors has been winning a lot of the hypersonic work lately. Where do you stand and what are the opportunities, can you catch up or is this the wrong way to think about it?
Tom Kennedy: Let me start off with what we are doing right now. So on the offensive, and I think I mentioned on our prior call that the defensive hypersonics is actually a bigger market than the offensive. But on the offensive, we are heavily involved in multiple programs. One of them is the air breathing hypersonics weapons program, and that's with the DARPA program. And then we are working on that program. We are also on a hypersonic boost glide weapons program, one of them is the tactical boost glide program that I mentioned on my -- during my discussion upfront. So that's essentially the two big programs that we are engaged in from a hypersonic perspective on the offensive side. We are also working several other arrangements in hypersonic area that I can't really get into on the phone here. But we feel we're in a very strong position relative to where we want to be on offensive hypersonics. On defensive side, we are heavily involved in that several activities involved in that, but it also moves on beyond just the missile part also moves into the sensor part, both on land and in space. So the overall area of hypersonics is a big opportunity for Raytheon where we believe we're engaged in the right elements of that and we're proceeding forward.
Operator: Thank you. Our next question comes from Seth Seifman with JPMorgan. Your line is open.
Seth Seifman: I wanted to ask briefly another question about IIS, where excluding any Warfighter headwind as the performance has been consistently good for several quarters now both sales and margins. I mean, if we look just specifically at the margin and we exclude the one timers from the quarter. It's been consistently mid-80s for the past three quarters now? I mean is this mid-8 business going forward, and if not why not? And you're obviously growing nicely, the end markets are growing and it seems like you're taking some share to. How do you think about the growth potential in the out years?
Toby O'Brien: Let me jump in there and obviously Tom can add any color if he wants and hopefully I get it all you broke up a little bit on the question, but I'll go back to Q1 performance right and kind of, to your question about the margins. If we exclude the couple items that we talked about in the comments in the release around the consolidation of the entity that we planned on, in the material sales, right. IIS would have about 8.5% margin in the quarter and there see a real strong execution. That was largely driven by their net program efficiencies compared to where they perhaps perform to the last year in their prior guidance. So, we expect them to continue to perform at a strong level going forward I think I have said before this business can certainly get a north of 8% on a consistent basis from a margin point of view. I think they have got the execution side of it down really well based upon how they performed last year and certainly into the first quarter this year. I think as everybody knows they are the one business right that from their business model has the structure that drives the margins to be a little suppress right to have the least amount of fixed price and the least amount of international work, but I know Dave and the team are working hard to improve that especially in the area of cyber and various international opportunities. So I expect they are going to continue to grow even with the headwinds of Warfighter that they will be through this year between cyber and space and international. And I would expect that over time they will continue to incrementally improve the margins and that they clearly have the ability to get this business to operate in the very high single-digit margins, albeit over time especially as that mix transitions and becomes a little bit more international biased.
Operator: Thank you. Our next question comes from Pete Skibitski with Alembic Global. Your line is open.
Pete Skibitski: One more question on missiles but more from a revenue standpoint. Tom, I know you guys kind of organized each of your segment by product area and I'm wondering which of the product areas within MS is going to grow the fastest this year to get it to your guidance? And just how dependent is the guidance on signing the two multi-year on the SM this year?
Tom Kennedy: So, I think a big player this year for missiles and actually for their segment that has the two multi-year in it, the SM-3, Block 1B multi-year and the SM-6 multi-year. And those are combined that's about four over little bit over $4 billion booking. And so the ramping up the latter half of this year and obviously into 2020 and beyond. I think they're going to get significant because they are multi-year -- its five-year multi-year will give them significant base improvements and their factories moving forward. We are seeing across all elements all the business areas within missiles significant growth and also significant international demand signals. So I think it's maybe Toby, give you the exact numbers here but we are very positive on the growth side of missiles and so again we want to leverage the fact that we are growing not just on the development programs but now with these two multi-years on the production programs; when we want to leverage that to drive productivity and efficiency improvements to essentially drive the inter-margin expansion going in the right direction also.
Toby O'Brien: The only thing I would add, Pete. As Tom, hit it right on. I mean they have got such a broad portfolio there isn't a single program or program area that were dependent upon here in the near term certainly this year and into the future to drive the growth that's coming from some of the classified work, some of our air-to-air business, the missile defense business that SM-3, participates in. So I think that's a key feature they have got the largest amount of franchises in the company. And while they are all at various stages they are all contributing or most all are contributing to the growth this year.
Kelsey DeBriyn: Shannon, we have time for one more question, please.
Operator: Our last question is from Carter Copeland with Melius Research. Your line is open.
Carter Copeland: I wondered you called out in missiles in the K, a charge on a next-gen precision strike weapon. And then in your earlier remarks you mentioned a couple of charges. Can you tell us a bit if that's the same program if we added another program, if we're talking about an expansion of loss making or zero margin work there. And then just in general with respect to the mix at missiles with respect to the 2019 plan versus 2018? How much more of the cost type of work do you have as a percentage this year than say you'd had last year? Thanks.
Tom Kennedy: Let me start with the last one first. At missiles in particular the cost type mix and directionally is, think of it as maybe five to seven points -- 500 to 700 basis points higher or more biased toward cost type versus fixed price on a year-over-year basis. On your first question, I mentioned, I figured who asked the question earlier but when I was talking about the performance and I mentioned in the quarter we had a one adjustment that was about $15 million. It is not the same program that you referenced from the K, this was an international test range upgrade program that we saw some growth driven by design related issues in the early phases and we are now moving into the production in the integration phase. So, it's not the same program that was driving the negative adjustments that I referred to here in Q1.
Kelsey DeBriyn: That's all the time we have today. Thank you for joining us this morning. We look forward to speaking with you again on our second quarter conference call in July.
Operator: Ladies and gentlemen this concludes today's conference. Thank you for your participation. Have a wonderful day.